Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the Third Quarter 2014 Earnings Conference Call. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. I would like to remind everyone that this conference is being recorded today, Monday, November 3, at 9:00 am. Pacific Daylight Time. I will now turn the presentation over to Bryan Giglia, Chief Financial Officer. Please go ahead sir.
Bryan Giglia:  Thank you, Carolyn and good morning, everyone. By now you should have all received a copy of our third quarter earnings release and supplemental, which were released this morning. If you do not yet have a copy of these, you can access them on our website at www.sunstonehotels.com. Before we begin this call, I’d like to remind everyone that this call contains forward-looking statements that are subject to risks and uncertainties, including those described in our prospectuses, 10-Qs, 10-Ks and other filings with the SEC, which could cause actual results to differ materially from those projected. We caution you to consider those factors in evaluating our forward-looking statements. We also note that this call may contain non-GAAP financial information, including EBITDA, adjusted EBITDA, FFO, adjusted FFO and hotel EBITDA margins. We are providing that information as a supplement to information prepared in accordance with Generally Accepted Accounting Principles. With us on the call today are Ken Cruse, Chief Executive Officer; John Arabia, President; and Marc Hoffman, Chief Operating Officer. After our remarks, we will be available to answer your questions. And with that I’d like to turn the call over to Ken. Ken, please go ahead.
Ken Cruse: All right. Thank you, Bryan, and thank you all for joining us today. On today’s call, I’ll start by reviewing the highlights of our third quarter earnings report; next, I’ll discuss our portfolio quality improvement program with specific updates on our renovations of the Boston Park Plaza and Marriott Wailea; and finally, I’ll go over our balance sheet, liquidity and guidance before I conclude our prepared remarks with some thoughts on our business going forward. To begin, strong demand, particularly on the West Coast and in Chicago and Boston helped to drive a 7.7% increase in our comparable hotel RevPAR during the third quarter. Our RevPAR growth was primarily attributable to improving average daily room rates, which were up 6.9%. At the same time, we realized a slight increase in occupied rooms which were up 60 basis points to an occupancy level of 86.4%. To put the current strength of demand for lodging into context, when taken on a same-store basis, our Q3 occupancy was more than 3 percentage points above our portfolio’s prior peak occupancy for the third quarter. Our hotel level growth in the third quarter was broad-based with 13 of our 30 hotels generating double-digit RevPAR growth. In fact our Marriott Long Wharf, Marriot Portland and our Renaissance Westchester together posted average RevPAR growth north of 20% for the third quarter. RevPAR at our Boston Park Plaza was up 14.8% as the hotel ran better than 95% occupancy for the quarter. It’s worth noting that the hotel achieved this exceptional growth when we were in the midst of our ongoing build out of the hotel’s first floor retail space, as well as considerable infrastructure work on the hotel’s elevators, façade, roof and sidewalks. Additionally, even our Renaissance Washington DC, which has struggled this year due to difficult comps, a weak convention calendar and the opening of new Marriot Marquis turned in a 5.8% RevPAR growth during the third quarter. Our third quarter RevPAR was negatively impacted by our to-be-repositioned Marriot Wailea where RevPAR declined by 2%. While the current RevPAR performance of our Wailea Marriot is a clear indication that this is a hotel in need of repositioning, it should be noted that the hotel actually outperformed our underwriting in the third quarter and is currently on track to beat our 2014 underwriting by roughly $500,000 on the bottom-line. More on Wailea in a moment. Drilling down a bit into our revenue management strategies with portfolio wide occupancy at a record high level and with dimensions continuing to improve, our operators have focused on increasing transient rates to proactive revenue mix management. This strategy has helped to increase our premium business portfolio wide. Specifically, in the third quarter by design, we kept our total discounted room nights essentially flat, while we meaningfully increased the average daily rate attributable to the discount segment by more than 11%. Our operators accomplished this by closing out lower rated discount channels, while increasing rates across other discount channels. With respect to our contract business and contract business is generally airline cruise for us, we’ve riddled down this segment considerably over the last few years. Where we’re keeping some contract business, we now have considerable pricing power. Specifically, in Q3 we reduced our contract room nights by more than 6%, while increasing the average daily rate attributable to this segment by more than 19%. And finally with respect to our target premium business, during Q3 we increased both our premium rated room nights and our premium average daily rate, with premium room nights increasing approximately 4% and premium average daily rate increasing by approximately 5% resulting in a 9% overall improvement in our premium segment revenues. Our JW Marriott New Orleans, Hilton San Diego Bayfront, and Marriott Portland Hotels all executed effective mix management strategies in the third quarter. As a result, premium transient revenue grew by an average of more than 30% for these three properties combined. In addition to strong rooms revenue growth, during the third quarter, our comparable portfolio banquet revenue was up 13.5% as group ancillary spend continues to improve. We achieved strong banquet revenue increases at several hotels including our Renaissance Washington, DC, Renaissance Orlando, and our Hyatt Regency San Francisco, as well as our Renaissance Westchester. While banquet and catering revenue growth has been somewhat sporadic during this recovery, soft in some quarters, strong in others, we see our Q3 banquet trend as a positive indication that group spend for occupied room is strengthening. Given our current occupancy levels, we would expect incremental increases in rates to drive margin expansion and this is exactly what we saw in the third quarter. Solid top line growth and focused expense controls help to drive our comparable hotel EBITDA margins up 190 basis points to 32.2% on 55.1% comparable flow through. These factors resulted in a 15.5% increase in same store EBITDA. Our solid hotel operating performance helped to push our adjusted EBITDA nearly $5.4 million or 6% above the high end of our guidance range. Similarly, our adjusted FFO per share came in $0.02, also 6% above our guidance. Notably as compared to the third quarter of 2013, our adjusted EBITDA increased by 31%, while our adjusted FFO per share increased by 13%. Our strong trends have carried forward into the fourth quarter and we are currently seeing particular strength in Orlando, Los Angeles and Hawaii. Looking ahead, our group production which we define as all future group rooms booked during a quarter grew 15% in the third quarter to its highest level over the last seven years. This growth was driven significantly by our Hilton San Diego Bayfront where the team booked several large outyear group blocks. The Hilton Bayfront is now booking groups into 2016 and 2017 at significant rate increases to current levels. In addition, in the far outyears of 2018 and 2020, the Hilton Bayfront has already successfully booked groups into lower demand holiday periods that typically more difficult to secure. Portfolio wide, our year-to-date group production is now up more than 8%, well above last quarter, where our year-to-date group production figure stood at a positive 4.5% as compared to the same time last year. Our current full year 2014 group pace, which we define as group revenues on the books for the current year for all 30 hotels, is up 5.5% versus the same period last year. For 2015, our group pace is currently up 1.5%, which is driven by 3.2% increase in rates and 1.6% decline in rooms on the books. Two factors are now limiting the number of group rooms our hotels are booking while giving our hotels increasing pricing power in setting group rates. Specifically at already record high occupancy levels, space availability has become a limiting factor. Additionally, given the continued strength of transient business in certain instances, hotels are foregoing lower rated group blocks in anticipation of yielding higher rated transient business. In short, our business fundamentals and leading indicators clearly point toward ongoing growth in hotel revenues and profits. Shifting now to our hotel quality improvement program, locating diamonds in the rough such as Boston Park Plaza and the Wailea Beach Marriott Resort and mining the untapped value in these great assets through smartly positioning and proactive asset management is a fundamental and proven component of our strategy. And executing on well timed, appropriately scoped, renovation projects is a core competency of our team. For example, while we still have a long ways to go in terms of improving bottom-line performance, year-to-date at our recently renovated Hyatt Chicago Magnificent Mile, RevPAR is up nearly 20% over pre-renovation levels and the hotel has increased its year-to-date RevPAR index by more than 14 percentage points. Likewise as compared to pre-renovation levels, our year-to-date RevPAR is up by more than 19% at our Hyatt Regency Newport Beach or the hotel’s year-to-date RevPAR index has increased by more than 20 percentage points of our pre-renovation levels. The index for our Hyatt Newport Beach house improved in part because our newly improved hotel is now able to charge a $15 resort fee. And finally at our newly renovated Renaissance Westchester, RevPAR is up by more than 19% year-to-date as compared to the last year prior to renovation. So now let’s shift to the specifics of our current renovation program. We invested $27.5 million into hotel improvements during the third quarter and we’ve invested $93.4 million into our portfolio during the first nine months of 2014. These portfolio investments have been largely funded through operating cash flow. This year, we have renovated the standard guest rooms at the Hyatt Regency San Francisco. And over the next year, we will further improve the hotel’s competitiveness by systematically renovating the atrium and meeting space in a generally non-disruptive manner. Also during the third quarter, we substantially completed the rooms and public space renovations of our Hilton St. Charles in New Orleans. Additionally, our two major repositioning programs, the Boston Park Plaza and the Wailea Beach Marriot resort continued to move forward on plan. I’ll spend a moment now updating you on these two major value-add projects. In Boston, we’ve made significant progress on our Phase I infrastructure project investing approximately $8 million during the quarter. To-date, we have completed the replacement of the hotel’s sidewalks and roof. In addition, we have substantially completed a comprehensive rehabilitation of the hotel’s façade and we continue to make progress on our elevated modernization and retail build out. Separate from this infrastructure work, we’ve worked to convert the hotel’s second floor and third floor office space into approximately 6,500 square feet of quality meeting space. This project effectively consolidated non-revenue generating back office space from several floors into one location. Last week we began Phase II of our Boston renovation program, which includes work on what we referred to as the podium of the hotel. The podium includes all public spaces and meeting rooms on the hotel’s first four floors. We’ve intentionally scheduled this work to be completed during the seasonally slow winter months, so we anticipate minimal business disruption. We expect the podium work will be substantially finished by the beginning of the second quarter of 2015. While high quality transient business will be the Boston Park Plaza’s primary demand segment, group customers are already responding well to our repositioning plan and we’re actively selling the to-be-renovated meeting and public space to group accounts for the seasonally strong period of April to November next year. Additionally, we’re seeing a strong pick up in our catering pace, which is currently positive for 2015 despite our deliberate plan to close the meeting space for renovations for the first three months of the year. Year-to-date, we’ve already invested nearly $16 million to improve the Boston Park Plaza, during which time the hotel has posted better than 11.5% RevPAR growth. We believe this is a good indication of the strength of the hotel’s Central Boston location and should serve as a harbinger of the hotel’s significant post renovation revenue and earnings potential. Shifting out to the Marriott Wailea Beach Resort, first, let’s discuss the low hanging fruit. After acquiring the hotel on July 17th, we immediately implemented several asset management initiatives including reorganizing the sales and revenue management teams, reworking our revenue management strategies and adjusting our resort and parking fees. Our asset management team is now participating directly in weekly revenue management calls and the hotel has made strong progress pushing up bar rates and reducing discounted room inventory. While we inherited the weak third quarter when we acquired the hotel in mid July, we now project Q4 RevPAR to increase between 11% and 12% for this hotel. And as I noted earlier, we now expect the hotel to beat our pro forma cash flow for this year by roughly $500,000 before we’ve even begun executing on our transformation plan for this asset. So, now turning to the heavy lifting for Wailea. We’ve made significant progress during the last two months in developing a complete master plan for the hotel. And we’re moving quickly to the design and documentation phase for the entire resort. Our plan for this exceptionally located, but poorly positioned hotel is to create a well defined cohesive destination resort experience to improve resort activities, new pool experiences, transform food and beverage offerings and enhance guest accommodations and better overall interaction and visual connectivity with the resort’s natural surroundings. We will couple the physical improvements to the resorts with service enhancements and meaningfully improved sales, marketing and revenue management programs. As we proceed with the planning and internal approval phase, we have refined our renovation timeline. We now expect to complete our renovation of the meeting space and our refresh of all guest rooms, suites and corridors in 2015. During 2015, we will also roll a brand new catering and banquet experience at the resort. Having now worked through the timing windows, we believe our 2015 renovation work will be minimally disruptive. Over the past three months, we’ve continued refining our vision for Wailea and in the process we’ve gain a better appreciation for this exceptional property’s true potential. As a result, our confidence and expectation for the hotel’s long-term cash flow and value appreciation have grown incrementally more positive. We’ve provided more information on our repositioning programs for Boston and Wailea including timing scope and budgets in the updated company presentation available on our website. I’ll now turn to the balance sheet. At the end of the quarter, we had $1.5 billion of consolidated debt and preferred securities. Notably, our consolidated debt to total capitalization ratio at the end of Q3 was a very healthy 31.9%. This is a reduction of nearly 5 percentage points from our leverage ratio just one year ago at the end of Q3 2013. The balance sheet is strong, with significant capacity and our leverage is now among the lowest in the lodging REIT space. While we will continue to focus on maintaining balance sheet strength and naturally deleveraging through the remainder of the growth cycle, we believe we are now appropriately levered to what we expect will be several years of strong growth for our business. Our debt has a weighted average term to maturity of 3.5 years and on average interest rate of 4.7%. Our variable rate debt as a percentage of total debt now stands at 29% and we have no debt maturities until the second quarter of 2015. I’d like to give our friends at Green Street Advisors a plug at this time. About a week ago they put out a great report titled What Me Worry, which remind us of the merits of maintaining fiscal discipline and adhering to a low leverage balance sheet. The report notes the asymmetric risk reward relationship presented by higher leverage capital structures for REITs, especially economically sensitive lodging REITs. This piece was a good reminder of why we at Sunstone continue working to create meaningful long-term shareholder value by carefully improving our portfolio of quality and scale, while at the same time remaining stubbornly focused on gradually building balance sheet strength and financial flexibility. To this end, we’re currently working to proactively address our 2015 debt maturities through the refinancing that will capitalize on the currently very low interest rate environment, while further extending out and lettering our maturity schedule. We expect to provide more detail on this pending refinancing later in the fourth quarter. Moving to dividends. Today, we declared our fourth quarter dividend of $0.36 per share. The dividend will be payable at the shareholders’ election in either stock or cash. The cash component will be capped at approximately $37 million or $0.18 per share which equates to 50% of the total dividend. Our Q4 dividend will bring our total 2014 distribution to $0.51 per share, which is $0.33 in cash and $0.18 in stock. For perspective, the operating cash flow we will retain by employing an $0.18 stock dividend will be reinvested back into our business. In fact, we expect this retained cash to fund more than 70% of our planned 2015 renovation work for both the Marriott Wailea and the Boston Park Plaza. While we have yet to determine the size or composition of our 2015 dividends, based on current business trends, we would expect to see an appreciable increase in 2015 taxable income and distributions as compared to 2014. Now turning to guidance. As a full reconciliation of our current guidance can be found on pages 23 to 25 of our supplemental, as well as in our earnings release, I will be brief. We’ve increased our adjusted EBITDA and adjusted FFO per share guidance for the full year of 2014. Specifically, we now expect to generate adjusted EBITDA between $309 million and $313 million this year. This is a $10 million increase to the midpoint of our prior full year guidance and a $6 million increase to the top end of our prior full year guidance. We’ve also increased the midpoint of our adjusted FFO per share guidance range by $0.04. Clearly, we are seeing a lot of green lights as we look toward the remainder of 2014 and into 2015 and beyond. To wrap up, we’re now concluding the fifth year of a slow lodging recovery that began in December of 2009. Lodging industry fundamentals are highly constructed and point toward continued improvement in demand and profitability, potentially for years to come. In fact, at this point absent a black swan event, our industry’s leading indicator suggest the current growth pace should continue unabated for a longer period than we previously assumed. With sentiment improving, demand increasing, occupancy rates at all-time highs and new hotel supplies generally in check, we believe our operating leverage coupled with our prudent financial leverage should drive meaningful profit growth for the next several years. Sunstone’s high quality and geographic and brand diverse portfolio stands to benefit to a larger degree than many of our peers given the potential from meaningful tailwinds as we complete our major renovations and repositionings over the next year or two. In spite of Sunstone’s unique positives, investors today have the opportunity to buy our portfolio at a below industry average multiple and at an average valuation of just $325,000 per key, a material discount from market comps and replacement value. Our long-term goal is unchanged and our execution of our plan over the last three years speaks for itself. Our growth-based strategy calls for building considerable shareholder value by improving our portfolio quality and scale, while improving our financial flexibility. We have considerable opportunities in front of us and we are confident we will continue to deliver in the quarters and years to come. With that we thank you for your time today and for your continued interest in Sunstone. Let’s open up the call to questions. Carolyn, please go ahead.
Operator: Thank you. (Operator Instructions). And we’ll go first to Rich Hightower with Evercore ISI
Rich Hightower - ISI: Good morning everybody.
Ken Cruse: Good morning Rich.
Bryan Giglia: Good morning Rich.
Rich Hightower - ISI: Couple of questions, first on Wailea. It looks like the CapEx budget actually came down slightly, if you think about it from a midpoint perspective to 60% to 65%, I guess down from 65%. And I’m just curious what changed there; obviously it’s a positive.
Ken Cruse: Well, what changed is when we acquired the hotel, we had a pretty good vision for what we wanted to accomplish for the hotel. We prudently built in a fairly significant question into our estimates. We’re going to continue to refine our plan, and Rich I’d tell you at this point, I would expect our renovation scope and budget is pretty consistent with what we thought it was going to be. 
Rich Hightower - ISI: Okay, great. And then my second question quickly, just curious for the appetite for dispositions, I know you guys have made statements in the past year, you’re pretty happy with portfolio as it is. But even perhaps selling a core asset to Hilton for instance, which is eventually going to have quite a big check to spend on acquiring assets. Just wondering what the appetite is on that front?
Ken Cruse: Yes, look Rich, we like your thinking on that. We’ll continue to explore ways to create value for our investors that may not be a 100% consistent with our stated strategy. And certainly, as we move into the mature phase of the cycle, harvesting gains in certain of our assets and especially capitalizing on buyers who maybe highly compelled, put capital to work, it’s something that we’re exploring, we’re in conversations; we have nothing to report today but we will certainly continue to explore that.
Rich Hightower - ISI: Great, thanks. That’s all for me.
Ken Cruse: You’re welcome. Thanks Rich.
Operator: And next we’ll go to Nikhil Bhalla with FBR & Company.
Nikhil Bhalla - FBR & Company: Hi. Good afternoon.
Ken Cruse: Good afternoon.
Nikhil Bhalla - FBR & Company: Just a quick question on how you speak about the dividend for next year given that balance sheet is in great shape and you’ll have again very good income. Any preferences on reviewing common dividend versus another special dividend next year and around that? Thank you.
Bryan Giglia: Look I appreciate the question. I think FBR has been fairly consistent in their stated views on cash dividends. As I noted in my prepared remarks, you can expect our taxable income will increase next year, but we’ll continue to think about the size and the composition of the dividend going forward. I should point out, this is a good opportunity us for to reiterate our view point on dividends at Sunstone. We’ve been fairly consistent all along that investors were looking to invest in a yield vehicle probably would be well advised to not look at the REIT space, lodging REIT space. Lodging REITs are highly economically sensitive and more capital intensive business. For us we believe that retaining cash flow and calling it back into our business and generating superior returns in that way is the right strategy, that’s a little bit different from some other guys. But as I said, our stock portion of our dividend this year will be sufficient to fund 70% of the major renovations that are going to go on next year in Boston and Wailea. So, we think that’s a pretty compelling use of cash and we believe our -- many of our investors will agree.
Nikhil Bhalla - FBR & Company: All right, okay. And just one more follow-up question on development opportunities not just in your portfolio, but in any acquisitions you may look at in the future. Are you thinking that you would have to look at acquisitions more from something that has a margin specifically given your… that maybe the best return on money or are you still thinking about maybe ready for more stabilized assets, any preferences on those?
Ken Cruse : Well first of all, we have two major renovations in front of us. And so our focus as a business is largely on executing well on those renovation plans. As we talked about, we’re deploying a fair amount of our capital into those assets. And so that’s our primary focus today. Certainly we’ll continue to explore acquisitions, but that would not be step number one I would say in our business plan at the moment. As far as the characteristics of hotels that we acquire, as I noted in my comments, one of our core capabilities is repositioning of assets and adding value to diamonds in the rough as I described Boston and Wailea. One of our other core competencies of course is proactive asset management. And you saw some of those efforts with respect to Wailea and our fourth quarter turnaround in terms of RevPAR growth. So in general, we’ll look to acquire hotels where we can add value and where our prior ownership has maybe not capitalized on all the value-add opportunities. But the general viewpoint from our company as we sit here today is that acquisitions are going to be a backburner for a little while.
Nikhil Bhalla - FBR & Company: Got it. Thank you very much.
Ken Cruse: You’re welcome.
Operator: And next we’ll go to Ryan Meliker with MLV & Company.
Ryan Meliker - MLV & Company: Hey, good morning out there. Just a couple of quick questions. And I wanted a little bit of a piggyback of one of Nikhil’s, which is with regards to acquisitions. I’m just wondering what your appetite is for select service hotel acquisitions. We’re obviously seeing a lot of capital chasing that space. You guys I think the last service hotel you bought was the Hilton Garden Inn in Chicago. Just wondering how happy you’ve been with that asset and if you’d be looking to expand the select service portfolio within your overall portfolio?
Bryan Giglia: Look in general, select service especially in urban locations can fit very squarely within our investment profile. We’re going to shy away from high yield select service assets that are located in secondary and tertiary markets especially the lower RevPAR assets, but the Hilton Garden Inn Chicago is a great example of something that fits squarely with our strategy. A hotel where we were able to add some value through renovation work. It’s a component of a three asset Nucleus in the market of Chicago. And so, we’ve been able to gain some operational and revenue management synergies by owning that asset. We’ll continue to look for those types of targets and we’re certainly not going to shut out select service in those types of locations. Marc you want to add some?
Marc Hoffman: Sure. We were static with the Hilton Garden Inn, Chicago, recently finished its rooms and lobby renovation. They were in 93% occ and had strong RevPAR growth ADR growth at 9.2% and 12.1% RevPAR last year compared to our comp set. We were in better occ stronger rate growth and as anticipated our post renovation hotels outperformed the comps set in the market. So, we’re very, very pleased and then have good strength as well in what I’d refer to as our Tripack in Chicago where we’re looking to have RevPAR growth in the fourth quarter between our three hotels of 23% plus at the Hyatt 12% plus at the Embassy Suite and 10% at the Hilton Garden Inn.
John Arabia: Hey Ryan this is John Arabia. Just to add on to that, there is one final piece of this to all come together, remember that we also own the Embassy Suites directly across the street and eventually we will combine the management, the operator of those two hotels. So that is a final piece that we anticipate we think will be positive for those hotels, both hotels.
Ryan Meliker - MLV & Company: That’s good color. Thanks guys. And then the second question I had, just I’m not sure, if you can give me an idea of how to think about this, but obviously mix shift within transient segment has been a pretty positive dynamic across your portfolio, driving some RevPAR growth. How do we think about how much mix shift is left, how is your premium segment as a percentage of total transient today relative to past peaks, things along those lines, like how are you guys thinking about the opportunity for mix shift I guess?
Ken Cruse: Sure. And Ryan, let me take this to start off and Marc can give you some very good detail on this. But from a high level perspective, you heard me talk about our occupancy in the third quarter. You heard us make similar comments in the second quarter and the first quarter. Occupancy levels for our portfolio and this goes for our industry, are above prior peak level; the demand for lodging is above prior peak. And yet ADR in general from those portfolios is falling short, even on a nominal basis before inflation of prior peak levels. We’ll re-attain prior peak this year. But clearly, we look at that disconnect between where demand is and where rates currently are, as a clear opportunity for us to proactively and aggressively push rate in our hotels. A lot of that is going to come through mix shift, a lot of it’s going to come through smarter tactics in terms of when and where we put the group blocks. Let me give it to Marc a little bit more for some of the specific tactics which he and his team are employing.
Marc Hoffman: Hey, thanks Ken. Just some highlights first, I mean we ended up with 860 plus sell outs in Q3 of ‘14 and continue to have very strong demand as we talked about on the call. I think look, the reality of it is mix shift as you noted does get to a point; at this point we’re probably starting to see real pure rate aggressive movement. We’ll continue to mix shift out, but we’re now starting to put our foot on the gas and really start to push rate in the pure rate increases, probably more than the pure mix shift side of the business. And then we continue to see very positive trends in the movement of ADR, transient revenue was up 8.4% with 7.1% of that being ADR and premium revenue was up 8.9% with 5% of that in ADR. And I think as Ken talked about compared to the prior peak, if you look at the prior peak of rates and where we’ve gone through a gap of seven or eight years, there is clearly room to move the pure rate. And so our conversation with our operators now, particularly in ‘15 now is going to be on the movement of ADR through rate as much as it is through mix shift.
Ryan Meliker - MLV & Company: Great. That’s really helpful. Thanks a lot guys. I appreciate all the color.
Ken Cruse: Thanks Ryan.
Operator: And our next question will come from Chris Woronka with Deutsche Bank.
Chris Woronka - Deutsche Bank: Hey, good morning guys.
Ken Cruse: Good morning.
Chris Woronka - Deutsche Bank: Good morning. You guys seen some nice lift out of some of the renovations, the Hyatt Chicago; the Renaissance Westchester, how much of that is -- I assume it’s somewhat of multi-year benefit and you’ve got a lot of it in ‘14, but how should we think about what’s kind of the trajectory on those two or maybe more broadly for the recent renovation projects?
Ken Cruse: Yes. First of all, I’d refer to you to the investor materials that we put online which will give you an indication of our thinking today as it relates to Boston and also Wailea in terms of what the potential for those assets are. I’d say for the assets that we’ve recently renovated, obviously you’ve got a mixed bag there in terms of when the renovations were completed and how far along way are in the ramp-ups. But typically what we see with these post renovation trends is depending on the marketing program and the sales efforts of the hotel, a ramp up can take anywhere from 12 to 24 months before it’s fully baked into the numbers. And then we pitfall a typical arc if you will in terms of the hotel’s growth from that point forward.
Bryan Giglia : Yes. I mean let me give you some highlights that will help. I mean look we clearly believe that you have a multiyear glide path post renovation. It’s not a one year and it’s not a two year. It is clearly multiyear. We’re into really our third full year with the Hyatt Chicago. We’re currently 28% ahead of group pace in Hyatt Chicago. 2015 will show the same increase at Hyatt Newport Beach. We’re up 45% in group pace in Hyatt Newport Beach. Westchester, we’re up 39% in group pace. So, when you look at those which are really three definitive turnarounds consistent is this continuing growth into improving long-term index in the building.
Chris Woronka - Deutsche Bank: Okay. That’s helpful. Also I want to ask you on New York. We all know some of the supply issues there. Your I guess kind of third quarter RevPAR was that more a function of supply do you think or was it more -- are we still kind of cycling some of the effects of the [HRS] program at the Double Tree?
Ken Cruse: It’s largely attributable to supply. You can see the Hilton for example had okay growth in the third quarter. That’s partly a discontinued recovery as Mark was referring to post renovation. The Double Tree has not been renovated other than the public spaces and that hotel did basically turn in a flat third quarter this year. So, overall this is the effect as anticipated of the significant amount of new supply hitting the market.
Chris Woronka - Deutsche Bank: Okay. Very good. Thanks guys.
Ken Cruse: You bet.
Operator: And next we’ll go to Thomas Allen with Morgan Stanley.
Thomas Allen - Morgan Stanley: Hey guys, good morning. Just on Wailea, you know that Wailea was running about $500,000 ahead of your underwriting expectations for the year. How much of that was industry growth versus kind of your asset management next year that you highlighted versus timing just trying to extrapolate that for next year and going forward? Thanks.
Ken Cruse: I’d say that this year -- first of all our underwriting was done back in June and July so we’ve kind of built in the market trends into our underwriting and had certain expectations from where we saw this hotel heading. I would say that this year’s outperformance is a product of a couple of things; one is that as I test on in my prepared remarks, the team has been effective in getting in there and very rapidly and trying to find some low hanging fruit and executing on that low hanging fruit whether that’s changing up the composition of the resort fee and adjusting our charge for parking program, changing the revenue management strategies, which were an obvious opportunity that we identified during our underwriting. Those things, some of those things can happen very quickly. And you’re seeing those asset management initiatives take hold on some of this year’s numbers. None of this year’s uptick in terms of operating performance is related to timing of renovations that was always anticipated as taking place in 2015 and 2016. Still will take place in ‘15 and ‘16 but now as we’ve had an opportunity to refine our windows and look at our business patterns in 2015 and the nature of the work that we’ll do in ‘15, we actually feel that our 2015 impact in terms of operational displacement will be relatively small versus what we initially anticipated. Marc you had more color?
Marc Hoffman: Sure. Really as it relates to Q4 of this year to your comment, is it basically just market driven that would be no. I mean the market is going to have a good Q4, but we will do considerably better than the market in Q4, but we have changes that both the hotel and us have worked through collaboratively particularly around wholesaler and the transient ladder and the structure of transient rates. So we believe that that will be very positive for us compared to just the general comp set.
Thomas Allen - Morgan Stanley: All right, thanks. And this is my follow-up. Can you just update us on your latest thinking around the performance of your major market next year? So, do you see at some of the West Coast market, New York? Thanks.
Ken Cruse: Sure. Marc you want to take that? We can go to city wise because several markets are going to be down, DC and Baltimore will be slightly down in city wise, Boston and New Orleans will also be slightly down in city wise whereas San Diego and Chicago will be positive on a city wise front.
Marc Hoffman: Sure. I mean look, I think generically we think DC, while the market is down slightly, we think we will see an improved performance out of our hotel next year compared to what we saw this year. Orlando is very strong. The number of total visitors to Orlando is now north of 56 million and continues to grow. The addition of the second Harry Potter at Universal has been a big demand and our group pace that that hotel is up strong and so we see a very strong Orlando. Boston we believe with little to zero new inventory in the market will continue to be a very strong performer for us. We think Baltimore, which hit this year has had its best RevPAR growth in a while. We think we’ll continually sort up on a low to moderate growth. San Diego, we expect while there are more room nights in the city, the number of major conventions are down slightly, but we also see a strong performance out of San Diego, San Francisco speaks for itself, it’s been a strong market and we believe that will not change. New Orleans is probably on the softer side, but we had two great markets, two great hotels that are now basically fully renovated and on strategy and we think will perform well. Chicago has a strong market talent and we expect solid performance. And Houston, our two Houston hotels, we feel will continue on their similar trajectory based upon the demand in that industry.
Thomas Allen - Morgan Stanley: All very helpful. Thank you very much.
Ken Cruse: Welcome.
Operator: And our next question will come from Lukas Hartwich with Green Street Advisors.
Lukas Hartwich - Green Street Advisors: Thank you. Hey guys. You’ve provided a bit of color, but also I hope you could maybe walk through your last year’s acquisitions and how they’ve been trending versus your original underwriting?
Ken Cruse: Absolutely. In fact, last year’s acquisitions are looking pretty good against our prior underwriting. So New Orleans is ahead of underwriting and again I think that’s an asset that we’ve renovated this year as per our plan when we acquired it. That hotel is now checking well, so it’s a few hundred thousand dollars ahead of our underwriting on the bottom-line. Hyatt San Francisco is also tracking very well ahead of our underwriting and we didn’t touch on Hyatt San Francisco and it’s a very tactical comment, but it did stumble a little bit in the third quarter. This was more of an operational challenge, the revenue management challenge than I think a market issue and we noted that in terms of the hotels index performance; trust us we’re all over that one and we see that hotel is continuing to improve strongly over the next year several year or so. That asset is ahead of underwriting. Marriott Wailea, we touched on is ahead of underwriting. Boston Park Plaza is behind underwriting today, slightly behind underwriting, largely because of some insurance costs that have come in a little bit higher than anticipated it and a little bit on the property tax side is slightly higher than anticipated. But all-in-all, if you add up the acquisitions that we made last year and this year, we’re actually right on target in terms of our underwriting.
Lukas Hartwich - Green Street Advisors: Great. That’s helpful.
Ken Cruse: Yes, sorry to interrupt Lukas, but Boston Park Plaza; I made a comment about Wailea that we’re incrementally positive in terms of the long-term potential of that asset. I should have made that exact same comment as it relates to Boston Park Plaza. So you saw on the third quarter that hotel turned in 14.5% RevPAR growth. We see 2015 and beyond as being very strong years for that hotel. So, the fact that it’s a little bit behind what we thought was going to be this year is not a concern from our perspective.
Lukas Hartwich - Green Street Advisors: Okay. And then there is a lot of land at the Marriot Wailea. I’m just curious if you could provide any color on the options that Sunstone’s considering, maybe undertaking with that land?
Ken Cruse: Yes. And we look at the land from two different lenses. First of all, the 22 acres in that location is incredibly valuable. It’s potentially incredibly more valuable to somebody who would own that land under a format that’s not involving a hotel or doesn’t solely involve a hotel. That’s not our plan A. Our plan A is to maximize the potential of this resort as a hotel on the 22 acres. But we see the land is having a nice waxed out value to the extent we ever look to monetize this hotel. There is density there that can be capitalized on, prior ownership has looked into potentially putting additional restaurant or additional revenue generating facilities on the space. We’re exploring a variety of alternatives there, but again plan A at this point is to maximize the attractiveness and the competitiveness of the existing spaces, truly meaningfully redevelop and enhance the recreational facilities there. Kind of Phase 2 if you will, will be to explore even deeper tapping of the true value of the additional land.
Lukas Hartwich - Green Street Advisors: Great. That’s it for me. Thank you.
Ken Cruse: Thanks Lukas.
Operator: And we’ll take our next question from Anthony Powell with Barclays. 
Anthony Powell - Barclays: Hi, good morning. Good results this morning. The question on acquisitions, a lot of your peers have mentioned desire to acquire more independent hotels, you remain very heavily lever to the brands. So, what is your view on buying more independent hotels or self-operated hotels going forward?
Ken Cruse: Good question Anthony. We are and we said this in the past brand agnostic and I would say that that goes down to being flagged agnostic as well. A good example would be our Boston Park Plaza hotel. We’ve got optionality there in terms of putting a brand in place, but we think our best plan at this point will be to continue forward in an unbranded capacity, gives us a lot more flexibility to execute on our business. We see it without having to adhere to brand standards both in terms of the physical product and the operating standards. So, right answer for that hotel. In other hotels depending on the market and the brand representation in that market having a flagged hotel can be a very good thing and it’s certainly primary to our strategy. We look at the brand that’s representing the deepest and most stable source of demand through all phases of the cycle. And so while times are good right now and independent hotels and good cheap hotels are doing quite well, who is also tend to be the higher paid assets during downturn. So, when we explore flagging decisions on any hotel, we try to look through all phases of this icon and make the decision based on not just what we’re seeing today, but what we may see over the next 5 years to 10 years. Certainly, it does not preclude us from doing unbranded hotel; it’s just one of the considerations that we put into our model.
Anthony Powell - Barclays: Great. One more on the Double Tree in Times Square, there is a lot of redevelopment activity in that submarket in light of retail signage. Have you explored doing some work on that hotel and maybe generating some incremental value by adding many new there? Thank you.
Ken Cruse: Yes. Anthony thanks for recognizing that. The value of that street corner at 47th and Broadway, clearly opportunity in Times Square for retail and signage and John in particular has led several initiatives to explore maximizing the signage and retail value of that hotel. We’re going to continue to be super careful and smart about how we go about this. But we agree with your comment that there is a need value there and taking the appropriate steps overtime to unlock that value something we’ll continue to explore. And John you want to…
John Arabia: Sure Anthony. As you can see just walking by holding for example the signage and the retail is probably not maximized to its true potential. And I’d say is we’re working on various aspects of the Double Tree Times Square. And I think we’ll have something to announce more formally during the next couple of quarters just on an incremental basis with the opportunities there.
Anthony Powell - Barclays: Great. Thank you.
Ken Cruse: Yes.
Operator: And we have no one else in the queue at this time. I’ll turn things back over to our speakers for any additional or closing remarks.
Ken Cruse: All right. Hey, thank you Carolyn and thank you all for joining us on the call today. We appreciate your thoughtful questions. And we look forward to meeting with many of you over the next several days at the NAREIT conference. Thank you.